Operator: Good day, and welcome to today's Colgate-Palmolive Co. Fourth Quarter and Fiscal Year End 2011 Earnings Conference Call. Today's call is being recorded, and is being simulcast live via the www.colgate.com. [Operator Instructions] At this time, for opening remarks, I would like to turn the call over to Senior Vice President of Investor Relations, Ms. Bina Thompson. Please go ahead.
Bina H. Thompson: Thank you, Lisa. Good morning, and welcome to our fourth quarter earnings release conference call. With me this morning are Ian Cook, Chairman, President and CEO; Dennis Hickey, CFO; Victoria Dolan, Corporate Controller; and Elaine Paik, Corporate Treasurer. This conference call will include forward-looking statements. And these statements are made on the basis of our views and assumptions as of this time, and are not guarantees of future performance. Actual events or results may differ materially from these statements. For information about certain factors that could cause such differences, investors should consult our most recent Annual Report on Form 10-K filed with the Securities and Exchange Commission and available on our website, including the information set forth under the captions Risk Factors and Cautionary Statements on Forward-looking Statements. We will discuss organic sales growth, excluding foreign exchange, acquisitions and divestitures. We will also discuss gross profit margin, operating profit, net income and earnings per share, excluding the impact of the onetime items described in the press release. A full reconciliation with the corresponding GAAP measures is included in the press release, and is posted on the Investor Relations section of our website at www.colgate.com. We're very pleased with our fourth quarter results, given the turbulent year just finished. The good momentum in our organic sales throughout the year is encouraging as we enter 2012. The challenge, as you know, has been to balance volume and price, and we have met that challenge. Our market shares are strong and growing, and you will hear more detail by division in a moment. On a year-to-date basis, our worldwide market shares are up in toothpaste, mouthwash, manual toothbrushes, bar soaps, body wash, shampoo, household cleaners and fabric conditioners. In addition, we are pleased that our gross margin improved sequentially from the third quarter supported by not only positive pricing, but another year of outstanding Funding the Growth results. We told you throughout the year of our renewed efforts to reduce our costs, and that focus continues and is succeeding. This is particularly important in a world of volatile raw material costs. And importantly, we increased our advertising in the quarter, absolutely and as a percent of sales, in support of new product launches around the world. So a strong finish to the year. In terms of our income statement, our balance sheet is equally solid with strong cash generation and return on capital. As Ian mentioned in the press release, the world remains challenging from a macroeconomic perspective, and is particularly volatile in terms of foreign currency and consumer and competitive dynamics. This has made it increasingly difficult to provide forecasts for specific regions. As a result, we've determined that going forward, we will not provide divisional guidance. We will continue to provide guidance on a total company basis. And for 2012, we expect volume growth in the range of 4 to 7%, and gross margin to increase between 75 and 125 basis points. Let me turn to the divisions to give you some color regarding their fourth quarter results and more general opportunities going forward, starting then with North America. We're very pleased that this region reported positive volume and price for the first time in over 2 years. We told you at the start of 2011 that North American results would improve as we progress through the year, and that indeed happened. Our second half new product activity has met with good success, and we have more slated for 2012. In the quarter, our U.S. market shares increased in 6 categories, were level in 3 and declined in only 2. Our leading all-outlet toothpaste share mentioned in the press release of 35.9% was 36.1% in the fourth quarter. We're particularly pleased with the success of Colgate Optic White toothpaste and toothbrush and the all-around value they are delivering. Value to consumers is reflected in good market shares and some very solid repeat rates. Since the launch, the 4-ounce toothpaste and soft toothbrush are the number one SKUs in their respective categories. Value to our trade partners since, as you would expect, the impact on overall average retail selling price for toothpaste has been very positive and will be delivering value to us through higher volumes, share and profits, a truly win, win, win proposition. This quarter, we will be launching another variant, Optic White Cool Mild Mint, thereby further expanding this very successful franchise. Our second half launch of Colgate Sensitive Pro-Relief has also delivered good results. It's been 65% incremental to the Sensitive business, and as such, has driven category growth. To build on this success, we will be launching Colgate Sensitive Pro-Relief Enamel Repair this quarter. This is an exclusive new daily use toothpaste that helps repair vulnerable parts of sensitive teeth and provides long-lasting relief as well. In toothbrushes, in the first quarter, we will be launching Colgate 360� Surround Sonic Power with 3x bacteria removal action to remove bacteria in 3 ways. The brush has surround bristles, wraparound cleaner and a cheek and tongue cleaner. The transparent handle and clear caps drive differentiation versus our manual toothbrushes. As you know, the Colgate 360� franchise has been extremely successful in both manual and powered brushes, not only here in the U.S., but around the world. In Home Care this quarter, we are launching Palmolive Fresh Sponge dishwashing liquid, which goes beyond cleaning dishes to wash away odor-causing residue from sponges, leaving dishes and sponges freshly clean. And this is just the beginning. You'll hear about other new product launches as we go through the year. Turning then, to Europe. As you know, the situation in Europe remains volatile from a macroeconomic perspective, particularly in Greece and some other southern European countries. Given that backdrop, we are quite pleased with our performance with volume x divestments and acquisitions, growing 1% in the fourth quarter. And as referenced in the press release, our oral care market shares are strong and growing despite a highly competitive environment. In the U.K. for instance, our toothpaste share is up 30 basis points and our toothbrush share is up 250 basis points to almost 30% year-to-date with the latest read at 36.1% despite heavy promotional spending by one of our major competitors. Colgate Sensitive Pro-Relief toothpaste continues to do well with a record monthly share in November of over 4%, increasing our share of the sensitivity segment to 30%. In Germany, our toothpaste share is up over 0.5 point on a year-to-date basis to 37.8% with the most recent share at 38.4%. Colgate Total has been performing well in that market, garnering over 4 market share points. In France, we are making great progress in mouthwash behind our Colgate Plax brand. Year-to-date, our share is at 14%, up from under 12% in 2008 and reaching 14.7% in the most recent period. New products have been key to share gains, and we expect our new product offerings to be even greater in 2012 than in 2011. In the first quarter, we will be launching a unique and complete system of oral care products under the Colgate Total Pro Gum Health name. This includes toothpaste, toothbrush, mouthwash and dental floss, and is designed to provide optimum protection for teeth and gums. In the premium whitening segment, we will be launching Colgate Max White Shine, extending the already successful Colgate Max White franchise. With a novel purple gel aesthetic, this product strengthens and shines enamel for a shinier sparkling smile. And in the sensitivity segment, we will be launching Colgate Sensitive Pro-Relief Enamel Repair, which helps to repair the sensitive areas of the teeth for instant relief and lasting protection against sensitivity. In addition, we are also introducing a sensitivity mouthwash to accompany our toothpaste and toothbrush for a complete system to provide effective sensitivity relief. And in personal care, we're very excited about a new line of shower gel and liquid hand wash, Palmolive Ayur Rituals [ph]. This line with variants such as Energy, Joyous and Tranquility is inspired by the secrets of Indian ayurvedic traditions, which have been known for centuries to help regenerate body and mind. Another exciting new product is from Sanex, Pro Hydrate bath and shower gels, which help to recover skin's moisture level in a natural way. The products contain natural skin moisturizers and are approved by dermatologists. In the Home Care category, we're launching a range of cleaners called Ajax Pure Home, which purifies surfaces from dirt and bacteria, and help purify the air, thanks to its freshening fragrance with essential oils. So as you can see, we have a busy year ahead in Europe and are encouraged by the breadth of our activity. And as you would expect, we will support these launches with out-of-store and in-store activity, with an even greater emphasis on all that digital has to offer. Turning then, to Latin America. We're very pleased with the continued strong momentum in this part of the world with 14.5% organic sales increase. In addition to the market share increases in toothpaste, toothbrushes and mouthwash, referenced in the press release, we increased shares in shampoos and maintained our solid #2 position in deodorants of over 20%. In Oral Care, we're delighted with the excellent performance of our Colgate Luminous White, which was launched in both Mexico and Brazil in the fourth quarter with highly impactful packaging and will be rolled out across the region in 2012 as a system that incorporates toothbrushes and mouthwash. In Brazil, the extremely positive trade reaction allowed us to achieve 95% of the listing objective among target customers in only one month. Total customer engagement resulted in nearly flawless in-store execution which was accompanied by strong media and digital support. In the month of December, Colgate Luminous White toothpaste reached over a 4 national share, just shy of the toothpaste share for the entire portfolio of one of our competitors. Our share in drugstores is twice the national share. In Mexico, our results have been equally impressive, again aided by very strong trade support. National Scantrack data shows Colgate Luminous White toothpaste share growing from 2.8% in October, the first month of launch, to more than 10% in the most recent readings. It's the #1 selling SKU in a number of our top customers, and has been 85% incremental to the whitening segment. In toothbrushes, despite heavy competitive activity, we gained almost a full share point across the region, increasing our year-to-date share to 41%. We are #1 in toothbrushes in every country in the region with the exception of Mexico, where we are fast closing the gap between our nearest competitor. Our market share is up 70 basis points year-to-date to 41.4%, with the most recent reading at 43%. In mouthwash, our share is up 3.7 points to 34% year-to-date with the most recent read at over 36%. In 2007, our gap with the leading competitor was almost 30 points and it now stands at under 8. As we enter 2012, we have a full pipeline of new products. As noted above, we will roll out the very successful Colgate Luminous whitening system across the region. Other toothpaste launches are slated for later in the year. In the Personal Care category, we will be continuing the rollout of Lady Speed Stick pH Active and Men's Speed Stick X5 Multi-Protect. Launched first in Mexico at the end of the third quarter, these 2 products have contributed to market share gains in that country, and we hope to see similar successes in other countries. Lady Speed Stick pH Active delivers protection that adapts to a woman, allowing for better protection from sweat and odor. Men's Speed Stick x5 Multi-Protect provides 5 different benefits that last all day. In the bar soap category, Protex with vitamin E is another exciting new product, which will have a regional launch. This variant combines the long-lasting antibacterial protection of Protex with vitamin E, known to be an essential nutrition for the skin, to keep it healthy, protected and feeling hydrated as well. Protex is the #1 antibacterial bar soap brand across Latin America and has steadily gained share every year for the past 5 years, from 8.3% of the market in 2006 to 14.9% year-to-date and 15.6% in the most recent period. This excellent performance is attributable to a steady dream of innovation and bodes wells for the future. Turning then to Greater Asia/Africa. Momentum in this region continues as well with excellent organic sales growth of 8.5% in the quarter, the strongest growth we have seen in over a year, and well balanced between volume and price. As elsewhere around the world, we have a robust lineup of new products with more to come this year. In the quarter, we maintained our strong leadership position in toothpaste in the fast-growing markets of China, India and Russia. In the toothpaste category, we will be rolling out Colgate Sensitive Pro-Relief Enamel Repair, as we are in Europe. Colgate Max White One, which has helped grow share in other markets in the region, will be launched in Turkey, where our market share continues to increase, up almost 150 basis points year-on-year to 27.5%. Across India, we will be relaunching Colgate Total with improved packaging and integrated marketing support. This should help us maintain our leading year-to-date share of over 50%. We are very pleased that in South Africa, with the launch of Colgate Sensitive Pro-Relief toothpaste, Colgate is now the #1 most recommended sensitivity toothpaste by dentists. As you know, our strategy is to not only launch proven global bundles in this fast-growing part of the world, but also from time to time, develop products specifically addressing unique consumer preferences in this region. A good example of a new regional launch is Colgate Slim Soft toothbrush with tapered bristles. The tapered bristles segment is growing very fast across Asia, double-digit in most markets. And this toothbrush is designed to capitalize on this growth. The handle has a simple and ergonomic design, and the 0.01-millimeter superslim tip bristles clean easily between the teeth and along the gum line. While it is still early days, initial results are very promising. And then Hill's. As in our Colgate business, macroeconomic conditions in the U.S. and Europe have presented a challenge for Hill's. Pleasingly, our high-growth markets are growing double-digit in organic sales with both positive volume and pricing. The weakness in our developed market businesses is related to our Science Diet line and less so to our Prescription Diet products as business in the veterinary channel is improving, accompanied by continuing increases in veterinary endorsements. However, we are encouraged with our ongoing new product activity, which will continue into this year. We told you last quarter about Science Diet Ideal Balance. Consumption for the product is growing and bringing new households into the brand. A fully integrated marketing campaign, including digital media, was launched in the fourth quarter. Business also continues to build around our launch last year of Science Diet Healthy Advantage, a wellness food available exclusively through the vet channels. Distribution is now ahead of our original forecast due to sampling of vet healthcare teams, in-clinic awareness centers, as well as pet owner trial rebates and new pet kits. We have additional products slated for this year along with healthy support behind them. In addition, we will be partnering with the Food Network to increase awareness of Science Diet Ideal Balance to advertorials, patch books and mobile banners to further establish the product as a natural option in the premium segment by increasing awareness and communicating the ingredients in perfect balance message. All this activity, combined with our ongoing veterinary staff education and feeding programs should bode well for 2012. So in summary, we're pleased with this strong finish to the year, and believe we have the right strategies in place to continue to deliver solid results in 2012 despite global macroeconomic challenges. We're looking forward to a strong year of investment and volume growth, and continued acceleration in our market shares worldwide. Our leadership team is committed to winning on the ground with superior execution behind an ever-increasing flow of innovative new products. We have a full pipeline of new products, spanning all price points to enable us to succeed in developed and emerging markets alike. And we look forward to sharing our results as we go through the year. That's all I have for my prepared remarks, Lisa, and now, we'd like to open the floor for questions.
Operator: [Operator Instructions] And we'll take our first question from John Faucher with JP Morgan.
John A. Faucher - JP Morgan Chase & Co, Research Division: Just wanted to ask a question about the change in the earnings target from sort of dollar-based to currency neutral and how we should read into that? You guys have traditionally talked about the playbook that you have in place, particularly in emerging markets, to deal with a stronger dollar in terms of more pricing, and that's what we saw in 2009. So does this signal a shift in the playbook sort of longer-term? Are you talking about this just in the context of 2012? So can you just sort of give us some updates in terms of how we should think about your longer-term guidance given this change this year.
Ian M. Cook: Yes, let's try and put this into some sort of context, John. I -- you will remember when we spoke last, on the last call, that we were just entering our budget process. And we said that it was our goal to try and get back to double-digit growth. And at that time, as I'm sure you and others have done, if you looked at the prevailing foreign exchange rates, a 10% growth in dollars was the same as a 10% growth in local currency. I guess what has changed for 2012 is the volatility we saw since that time and coming into this call. We are very pleased with the fourth quarter. We made good progress, we think, on the top line, 6% organic. We made better progress than we expected on the gross margin line and expect that to continue going forward. But given the volatility in currency for 2012, felt that taking on that volatility was not prudent, would potentially put pressure on our ability to support the business, and so for this year, felt it was better to guide currency neutral. Again, we'll have to look at the world foreign exchange position as we work our way through 2012 into the out years to see what happens. But I think from the macro point of view, continued volatility certainly in 2012 must be the expectation.
John A. Faucher - JP Morgan Chase & Co, Research Division: Okay. So does that mean that you're not planning on guiding currency neutral forever? I mean, it sounds like you're just saying this is just a 2012 issue.
Ian M. Cook: That's what I'm saying.
John A. Faucher - JP Morgan Chase & Co, Research Division: Okay. And in terms of the view of pricing in Latin America, is that just again sort of a 1-year -- or emerging markets generally, that's just a 1-year issue as well and we'll revisit that in 2013 in terms of using that to offset the price -- the FX?
Ian M. Cook: Well, the -- let's be clear. When we -- as we think about this, obviously, to make the gross margin progress we expect to make, and as Bina said, well within our 75 to 125 range, we will obviously be taking pricing in countries affected from a transaction point of view to make the gross margin progress. So the playbook is very much in place in terms of offsetting transaction, but it did not want to stretch it to the translation end of it.
Operator: [Operator Instructions] We'll now go to our next question from Ali Dibadj with Bernstein.
Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division: I wanted to push on this a little bit further. Given that the Colgate we knew would be able to offset commodities and currencies no matter what volatility through pricing, and then continue to expand margins, we've seen tougher times on gross margins, we've seen tougher times on volatility in currencies, and you haven't changed your guidance then. Why now? And I guess, is it really just because of global macro problems that obviously we're all aware of, or is there even any potentially Colgate-specific issue that's at play here?
Ian M. Cook: I think you're taking it too far, Ali, if I might say. We do believe it is the global volatility. Interestingly, if you go back historically, usually, commodities and foreign exchange were countervailing factors. We're not seeing that right now. You know in 2011 that the commodities headwind we had to face was double what we thought coming into the year, and looking at 2012, whilst the rate of increase is indeed slowing, we think it'll be between 2% and 3%, it is still at elevated levels and we're not seeing the usual correlation or loose correlation between foreign exchange and commodities. And that is a global factor, not a Colgate factor.
Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division: Okay. So in that context then, can you help me understand a few things: One is, volumes in China were down, why? Two is, exclusive of Optic White and other innovations in the U.S., volumes probably weren't that robust, so maybe tell me how much was from the innovation from the U.S. volumes? And then lastly, again, in the same context, Venezuela pricing drove almost all of your pricing in Latin America because it sounds like you were prepared for these Chavez changes and you took the move in December. So what pricing you take outside Venezuela and Latin America? So again, in the context of it's only a 1-year thing, we're going to get over this, China, U.S. volume and Venezuela, would be very helpful.
Ian M. Cook: Sure. Well let's start, in no particular order, with Venezuela. And of course, in that context, the new government regulations came into effect towards the end of last year, and the guidance we are giving in terms of our approach to 2012 is obviously compliant with government regulation, with no pricing, no new pricing assumption in Venezuela, but continued progress in pricing across the world including Latin America. So Venezuela is out of the picture and the rest of the Latin countries will take to offset the transaction, as we said. Optic, the whole point in the U.S. was to return to growth and return to positive pricing. We've stepped up innovation in the second half, and we're actually thrilled with the progress of our U.S. business and our progress in the Oral Care category as being the outline. Here you have a situation where the consumer sees value and the benefit they're getting, and the manufacturer and retail share in the growth and the margin expansion that quality of innovation provides. And frankly, one would look for more of that in the U.S. business and beyond, which is what we're focused on rather than taking it out and looking at the business without that innovation. So it is a particular strategy to try and create that type of innovation, and as Bina commented, with the kind of early results we're seeing in Latin America, when you transfer it, it has global applicability. In the case of China, obviously for the year, we continued in Greater China to see what we thought was good progress. We lifted our organic rate of growth for the year to about 10% with underlying volume running at about 8%. Our market share in China continues to be in the 32, 33 zone, leading the category by 10 points, and that share has been consistent across the year. And the fourth quarter was impacted by inventory adjustments with some of our distributors in the rural parts of the company, and we feel confident we will come back in 2012. So not a fundamental issue, a quarter issue.
Operator: And for our next question we'll go to Wendy Nicholson with Citi Investment Research.
Wendy Nicholson - Citigroup Inc, Research Division: My first question on the gross margin target, is your confidence in being able to get to that 75 to 125 basis points of expansion more on the cost side or on the product mix side? Because it strikes me, given how much promotional spending levels are probably going to remain elevated around the world, maybe that's an aggressive target.
Ian M. Cook: I mean to -- let's come back to material costs. As I said in response to an earlier question, as you know, where coming into 2011, we thought material costs were going to rise in the 6% to 7% range. They actually rose in the 12% to 13% range. And going forward, the first thing to say is that our estimation is that material commodity cost increases will be in the 2% to 3% range. And that is more than offsetable with a continued strong Funding the Growth program, which we expect, and pricing in 2012, which is partly the rollover of the pricing, we think, we balanced well in the second half of 2011 between price and volume. Let me bring you back and use this opportunity to give you the roll through for the fourth quarter and give some sense of how that is beginning to play out. In the fourth quarter, now this of course, takes us from the fourth quarter gross profit 2010 to the fourth quarter gross profit this year. So last year, our gross profit was 59.1%. And if we look at the bridge to the 57.7 this year, we got a benefit of 1.2 percentage points from the pricing we took, up from what we delivered in the third quarter because of the higher pricing. Our Funding the Growth, consistent with our trend historically, delivered 260 basis points of benefit, which was up from the third quarter of this year and up from the fourth quarter of last year. Material prices ebbed somewhat, a headwind of minus 5.1 percentage points, which compared with 5.3 in the prior quarter, so you see that plateauing, but still at elevated levels. And net, that works its way through to the 57.7, down 140 basis points. Progressive improvement, as Bina said, we expect that progressive improvement to continue into the first quarter of 2012. We don't think we'll quite get back to the first quarter of 2011 gross margin, but it will be close. And then with our normal trend of Funding the Growth with our normal trend of pricing, excluding Venezuela as a factor, we feel very confident we will be in that 75 to 125 basis points range. And a key driver is that the pace of commodity increase will lessen year-on-year.
Wendy Nicholson - Citigroup Inc, Research Division: Okay. And if I can just follow up one question specifically on the outlook, commodity versus pricing. Pricing in Europe has been weak this year, and I assume some of that is just currency-related, but is there anything specific to Europe from a macro, from a consumer perspective that makes you think that pricing is going to remain tough to take to offset the currency headwind? That's question #1. But then my bigger-picture question, and I promise then I will stop, is the change not only in terms of the guidance to local currency, but also the change of not giving us any quarterly direction by regions? I'm probably thinking too much about it or reacting too strongly, but is there a risk that the thing that has made Colgate sort of so unusual and so special for so long, a decade longer, has been just the incredible analytical focus, the incredible close touch on the numbers, the fact, I think, that historically, you've paid your employees in dollars and so that's what's motivated them to take that pricing in the emerging markets to offset currency headwinds? Is there a risk that Colgate is falling off of some of the very sharp discipline managing every region, every line, that kind of thing? Does that make any sense?
Ian M. Cook: The question makes sense, the answer to the question is absolutely, definitely not.
Wendy Nicholson - Citigroup Inc, Research Division: That's a shock.
Ian M. Cook: And when we think about building our business, we will take pricing, we will deliver the Funding the Growth initiatives that will grow our gross margin in that 75 to 125 basis points area. We did not, in these volatile times, which many of you have written about, want to take an imprudent stance of reaching to cover the translation impact of a bouncing foreign exchange, which worsened dramatically from the time we started our budget. And we think this is an appropriate way to manage the business in these turbulent times. We're going to see good top line growth next year. We're going to see good margin expansion next year. We're going to see an increase in advertising investment. We're going to see a reduction in our structural cost as a ratio to sales. All the initiatives that we have had for all of these years are absolutely going to continue. And in local currency terms, we will be growing the bottom line by double digits. So the internal discipline is not going to change at all. One of the other things though you have seen with Colgate over the years, depending on where the world macros go, is an ability to react between geographies to adjust to whatever turbulence there may be from a global macro point of view. And we will retain that flexibility, and we don't think that providing specific guidance by geography at this time does anything other than set up a potential botcher if a number is missed because we've had to make an adjustment from one geography to another even though the company as a whole delivers well from a top line and a bottom line point of view. So we don't think it adds anything. It absolutely doesn't change the discipline internally, nor does it change the flexibility that we have, I think, the judgment to use and have done well so in the past to adjust between geographies as necessary. And to your final point about pricing in general, Europe, as you know, has always been a difficult area from a pricing point of view. We were very pleased with the progress we made in the other half of the developed world in North America with the innovation stream we have, bringing North America into positive pricing territory in the fourth quarter, with an expectation that, that will continue next year. And we look to make sequential progress on pricing in Europe in 2012.
Bina H. Thompson: Wendy, where our discipline is failing is getting people to ask one question and then get back into the queue. There's at least 15 questions on the queue so please, can you limit yourself to one question.
Operator: And we'll now take our next question from Chris Ferrara with Bank of America.
Christopher Ferrara - BofA Merrill Lynch, Research Division: So I guess the question is on competition, right? Obviously, we've seen increased competition from P&G. This is nothing new globally, in oral care quite a while. Europe's probably their latest push, and your shares are strong, but I guess profit was down in Europe despite Sanex, right. So I guess the question is, can you take a step back and just update us on the impact of competition to margins going forward? Because I think commodities and pricing have obscured a lot over the last year, right? But obviously, you're guiding back to double-digit EPS growth through this year on a currency neutral basis. Is that because the competitive spending is more rational? It doesn't seem like it, right? Or it's lapped or decreasing, or is it simply a function of the fact that pricing is now ahead of commodity inflation for 2012 so you can do the double-digits despite higher levels of competition?
Ian M. Cook: Chris, competition has always been a factor, and the aspect of it that we have resisted is what one might call price-driven competition. And competition at its best is innovation-led competition, and that's a world we are, I think, well-equipped and happy to compete in, and Optic and the equivalent with Luminous being rolled out around the world are good examples of precisely that. When you look at geographies around the world where new entries have been made -- the Brazils, for example, the U.K.s, as Bina said, our shares continue to grow, and that is even before the benefit of the Optic or the Luminous toothpastes hit our market share. So we feel good about our relative market position. There is no question that the competitive price promotion in those markets continues to be elevated and we compete with it where we choose to and where not, certainly not at the same level as our focus is on innovation to build the business. Now when you look at the geographies around the world and the consumers' behavior around the world, what we have seen is that in the developed world with more of the purchasing decisions being made at retail, we have seen programs executed in retail outlets, what we call shopper marketing, which you don't see in the advertising number, it comes out of the trade spending. And we are, as we have said for some time, balancing our marketing techniques to take advantage of the in-store activity, where that's good, and use the more fundamental basic engagement advertising where we believe that is important. But you look at the structure of our income statement and what we're saying about 2012, I think we're exhibiting an ability to grow the top line while taking pricing, recover and then expand our gross margin, find funding from reducing structural costs as a percentage to sales, so that we can, as Bina said in the beginning, keep building our market shares around the world, which empirically, if you look at the data, is what we are doing.
Operator: And for our next question, we'll go to Connie Maneaty with BMO Capital.
Constance Marie Maneaty - BMO Capital Markets U.S.: You said in the press release and on the call that organic sales in developing markets rose 12% and that would include the decline in China. Could you tell us what the growth rate, organic sales growth rate, was of developed markets and how these 2 markets are now defined? Because they're not on a straight segment basis, but percentage of total of each one.
Ian M. Cook: Well, first of all, the -- in Greater China, our organic sales were up. It was the volume that was modestly down. Today, we are about 51%, 52% in the emerging markets, and the definitions of those would be broadly, as you would expect, which is that North America and Europe would be developed markets, as would Australasia, and the rest broadly would be emerging markets.
Bina H. Thompson: Connie, that's spelled out in Table 8 in the press release.
Operator: And for our next question we'll go to Javier Escalante with Consumer Edge Research.
Javier Escalante - Consumer Edge Research, LLC: I have a housekeeping question that I hope is not taken as that I'm cheating. And the housekeeping question is, if you can comment what was the growth, EPS growth, in 2011 excluding the benefit from currency if we're going to be starting to compare currency neutral? And in terms of my longer-term question or my more strategic question has to do with the relationship between how you get to the double-digit earnings growth currency neutral in 2012? We saw pricing power diminish in 2011. What is going to change in 2012? You're talking about North America stabilizing, but profits were down mid-single digits on top of double digits last year. The same thing can be said about Europe. And if you can comment on what was your saving targets? What was -- how much savings you extracted in 2011 and how that is going to compare in 2012? So could you help us understand how -- what exactly is controllable and that we can believe? Because the assumption that the diminished pricing power in 2011 changing in 2012 is a risky one.
Ian M. Cook: Well, the -- let's take the strategic question first, given that, that is more important. Our savings programs, if that's the place to start, our saving programs, we believe, will be as effective in 2012 as they have been in 2010 and 2011. And we have been very transparent after the fact of the precise contribution of those savings programs to our gross margin, and they will continue. I think, that's something we have demonstrated over many years that you can believe in. Secondly, we have said for at least 2 years now that we had been focusing on reducing our structural costs on a ratio basis to sales. We did that in 2011. We told you about the divestment of the detergent business in Colombia earlier -- or late last year and the effect that, that will have in 2012. So I think you can believe in that as well. And I would challenge this notion of lack of pricing power. We took greater pricing in the third -- in the fourth quarter of last year and held volume at a 4.5, 4.7 rate of growth, organic growth's strong at 6.1%. We believe that we can continue that in 2012, balancing the volume between the rollover of the pricing that we have already taken in 2011 and new pricing in 2012. In neither of those 2 years would the pricing be close to what we had done in 2008 and 2009. And we're seeing market shares and consumption grow, and again, Optic or Sensitive Pro-Relief would be good examples where if you bring the consumer a benefit he or she values, they will pay a higher price for what they believe to be a superior product. And I think you can believe that innovation stream will continue. So for me, those would be the 3 factors. We'll get the same benefit from our Funding the Growth, which is why we're comfortable with the 75 to 125 basis points expansion, we will get rollover and fresh pricing in 2012 without prejudicing the top line. We've already shown after many quarters our ability to get pricing into positive territory here in the U.S., innovation-driven. So we don't see, we don't have the same disbelief, I guess, Javier, that you may be expressing. And with that commodity headwind in the 2% to 3% range, that's something we can offset and continue to rebuild gross margin.
Javier Escalante - Consumer Edge Research, LLC: But if I can, I mean, if this doesn't count as a question, right? Just for clarification. If I get into your -- if I back into your numbers, Funding the Growth came in at around $325 million. You had said in the past that the target is between $300 million and $600 million, so it certainly came in at the low end. Funding the Growth needed to be supplemented with these restructuring programs that we didn't know about it. So it seems to me that Funding the Growth is kind of like delivering at the low end of expectations. And then coming back to the pricing side, basically, pricing came, relative to the past, came in really, really late. And yes, you took pricing in the -- pricing seems to be stabilizing in the U.S., but at the same time, profits are down high single-digit on top of double digits. So it's just hard to understand how you get to sustainable double-digit growth.
Ian M. Cook: It sounded to me like a question, Javier. So the quick answer, before we move on, is we invested behind the premium innovation in the U.S., and we said we were going to do that. And so we did that, and as a company, delivered what we said we were going to deliver. So that was purposeful and intentional. And as we have said before, we make judgments across geographies. And the fundamental flaw in the reasoning on the Funding the Growth question is all you're seeing there is the Funding the Growth benefit that we are getting on the gross margin line, not the totality of the Funding the Growth savings that are working their way through the entire income statement.
Javier Escalante - Consumer Edge Research, LLC: But that was my first question, Ian, what was the total savings? If you could help us understand what was the total saving in 2011 for Funding the Growth excluding -- including SG&A and what is the target for 2012.
Ian M. Cook: We're not going to give that number, Javier, simply said. We have said very clearly that we have initiatives on the structural side. You see it in the ratio to sales as we report results, and we give very clear run through of what we get on the gross margin side. Beyond that, we're not prepared to go.
Operator: And we'll now take our next question from Bill Schmitz from Deutsche Bank.
William Schmitz - Deutsche Bank AG, Research Division: Can I do the same thing with a housekeeping question and then a real question? What do you think the pricing is going to be in 2012 and what you think the tax rate's going to be?
Ian M. Cook: Bill, the -- on the pricing side, I would say the pricing is going to be the same order of magnitude as we saw this year. And given where we are today, frankly, about half of that is going to be a rollover effect of pricing already taken, which is why we feel okay about the pricing. On the tax side of things, obviously, we have a lot of focus on tax savings initiatives and the impact of our capital structure and remittance planning. And for next year, we're looking at a tax guideline of between 31% and 32%.
William Schmitz - Deutsche Bank AG, Research Division: Okay, great. And then for my "real question," have you thought about the portfolio more broadly again, and specifically Home Care and Hill's? Because obviously, it's been a little bit of a drag and probably the toughest businesses, especially because there's so much home care in Europe, and it's -- obviously private label taking a fair bit of market share. So has anything changed in terms of what the priorities are for those 2 businesses and maybe even thinking longer term about where they belong in the portfolio?
Ian M. Cook: We constantly revisit the portfolio. As you would imagine, we most recently did it as part of our strategic process around the middle of last year. And at this time, we have no revised prioritization or plans on the portfolio we have.
William Schmitz - Deutsche Bank AG, Research Division: Okay. And I mean just to expand that, what does Home Care and Hill's do for the broader business besides maybe giving you some more scale?
Ian M. Cook: It gives trade strength in parts of the world where on those businesses, we lead. As you know, the Home Care business is a regional business. In those regions, it gives us trade strength. And the Hill's business has historically given us growth, which we are building back to, and also is a very strong cash contributor.
Operator: We'll now take our next question from Linda Bolton Weiser with Caris.
Linda Bolton-Weiser - Caris & Company, Inc., Research Division: So I was wondering, the information you gave, the color on China for the year in terms of sales growth and volume growth and market share trends, could you give the same type of stuff for Russia for 2011?
Ian M. Cook: Well, we continue to have market-leading share in Russia, which is between 31% and 32%. And I don't think we tend to give country breakdown from an income statement point of view, but suffice to say that we ended the year with organic growth double-digit, and the business, I would say, on a very good uptick. So shares are good and we ended the year very nicely.
Linda Bolton-Weiser - Caris & Company, Inc., Research Division: Okay, can I sneak in one more on commodities? I guess I'm a little confused with the comment that your input costs will be up year-over-year in 2012 because I'm looking at comparisons for most commodities that are actually down year-over-year for the full year 2012. So is your projection including in anticipation that spot prices will move up from where they are or can you just explain a little bit more?
Ian M. Cook: Slightly in some categories, but no, it's been a straight run through in terms of the commodity costs. So -- and our oil assumption, which I think is around 110, 113 Brent. So no, it's a straight roll through, Linda.
Linda Bolton-Weiser - Caris & Company, Inc., Research Division: And is Hill's actually experiencing some -- I mean, Hill's margin was very good in the quarter. Are the agricultural commodities actually down now year-over-year? Or what was the reason for the good Hill's margin in the quarter?
Ian M. Cook: Pricing. We took pricing in Hill's and we got the organic growth we were looking for, so.
Operator: And we'll go to Joe Lachky with Wells Fargo.
Joe Lachky - Wells Fargo Securities, LLC, Research Division: I'm subbing in for Tim Conder today. I guess first, I just wanted to get the unanswered Javier question on what was the 2011 EPS benefit from currency. And then I was also hoping you could give some foreign exchange kind of framework, if possible, since it's fairly easy to figure the sales impact from foreign exchange, but harder to gauge the bottom line impact with all the moving parts. Do you guys have any sort of internal sensitivities you could provide like some other consumer companies have? For example, like a 1% change in net foreign exchange on the top line is an x percent or an x dollar impact to EPS?
Ian M. Cook: I think the way we framed it, Joe, is that we expect the impact on the bottom line to be around 4%. As the current spot rates, the top line is slightly less than that, approximately 3%.
Joe Lachky - Wells Fargo Securities, LLC, Research Division: That's helpful. And then on 2011, what was the benefit to EPS from currency?
Ian M. Cook: Between 2% and 3%.
Operator: And we'll now go to Alice Longley with Buckingham Research.
Alice Beebe Longley - Buckingham Research Group, Inc.: My questions are all sort of housekeeping as well. I think you said the gross margin would be actually down in the first quarter. So could you clarify if EPS growth is going to be second half weighted and if EPS will actually be up in the first quarter?
Ian M. Cook: We said that gross margin, from a gross margin point of view, we will continue to make progress sequentially as we did between the third and the fourth quarter. You will remember what we actually did slightly better in the fourth quarter than we were expecting. And we expect to continue to make progress in the first quarter, although we will be slightly shy of the first quarter 2011 level. And we expect EPS to be up broadly in line with the year.
Alice Beebe Longley - Buckingham Research Group, Inc.: In the first quarter, okay. And then when you said double-digit increase in EPS for the year, x currency, does that mean in the range of 10% to 12%? Or could it be 15% to 20%? What does double-digit mean, a little bit more explicitly?
Ian M. Cook: Alice, it means 10%.
Alice Beebe Longley - Buckingham Research Group, Inc.: It means 10%, okay. And then, could you tell us about operating margins? We've heard about gross margins for 2012. Are operating margins going to be flat, up or down?
Ian M. Cook: We don't provide that as you well know, Alice. So we give you the work-through in terms of the top line and the gross profit, and advertising will be up absolutely and as a percent to sales. And we will deliver in a currency neutral way, double-digit with that 4% headwind of translation and foreign exchange.
Alice Beebe Longley - Buckingham Research Group, Inc.: Okay. And then my final one is on the sales guidance. You told us volume, 4% to 7%. And then you just said pricing would be about the same as 2011. Pricing got pretty strong by the fourth quarter, but for the year overall, I believe it was 1%.
Ian M. Cook: I'm sorry, I misspoke earlier. I meant more in line with the fourth quarter of 2011.
Alice Beebe Longley - Buckingham Research Group, Inc.: Okay. So it's more like 3%. So you're expecting organic sales growth to be high single-digit, right?
Ian M. Cook: I -- we certainly expect the volume to be in that 4 to 7 range. I think a reasonable way of looking at it is organic growth in the 6% to 7% range for the year.
Alice Beebe Longley - Buckingham Research Group, Inc.: 6% to 7%, including the 3% pricing?
Ian M. Cook: Yes.
Alice Beebe Longley - Buckingham Research Group, Inc.: The math doesn't work. Because with the 3% pricing on top of 4% to 7% volume, the organic sales growth would be 7% to 10%.
Ian M. Cook: It depends on where in the range of 4% to 7% you are.
Alice Beebe Longley - Buckingham Research Group, Inc.: Okay. So it sounds like what you're really comfortable with is the 4%.
Ian M. Cook: No. We're saying you can look at our performance across the third and fourth quarter, that's the kind of pacing we're expecting next year.
Alice Beebe Longley - Buckingham Research Group, Inc.: Okay. And then if we take that 6% to 7% organic sales growth and take off 3 points for currency, it looks like you're looking for reported sales to be up 3% to 4%. So...
Ian M. Cook: I think Alice, you're -- we're going to have to move on. We have lots of questions. I think we've answered with about as much detail...
Alice Beebe Longley - Buckingham Research Group, Inc.: But basically, operating margins are sort of flattish...
Delia H. Thompson: Alice, why don't you give me a call and I'll be happy to work to you.
Operator: We'll now go to Lauren Lieberman with Barclays Capital.
Lauren R. Lieberman - Barclays Capital, Research Division: I just wanted to talk a little bit about advertising. I respect the decision in terms of how you're looking at 2012 to say you want to protect investment levels in the business and not leave that subject to sort of broader volatility from a macro and FX standpoint. But this year, the advertising spending, and maybe even inclusive of promotion, does still feel like it was below what might have been planned or expected at the start of what was to be a big reinvestment year. With the really solid top line performance you put up, I mean maybe the answer is we're asking the wrong question because you guys think you spend the right number already. And so I just want some perspective on -- maybe you don't think advertising actually really needs to go up to deliver the kind of top line growth that you want over the long term.
Ian M. Cook: Yes, Lauren, a good strategic question. I think the way we have tried to answer this historically, and I talked about it a little bit earlier, is to say that what one deploys in order to build brands, market share and the volume, that brings our engagement strategies with consumers. The most common proxy for that is the so-called below-the-line advertising, which then gets distilled into a ratio. But that's the sampling, the television advertising, the digital strategies that you deploy. And some of it is above the line in terms of the trade-related activity that is executed at retail level. And that's because techniques allow you to engage with the consumer, many of whom are making their purchasing decisions, particularly in the developed world when they are in the shopping environment, and that's how we approached this year. So if you look at our overall commercial investment, we actually increased our commercial investment year-on-year. So it's really back to this notion of balancing. We really balance between the activity we do in the retail environment, which is more developed world-oriented, and the investment we put in the emerging markets, and that is a roll-up that we do from the ground up. And then we react to that during the year as events unfold. So actually -- and advertising level that we have today, we think, is a reasonable level. Our plans for next year call for it to move up slightly.
Operator: And we'll take our next question from Caroline Levy with CLSA.
Caroline S. Levy - Credit Agricole Securities (USA) Inc., Research Division: Very briefly, if you could explain, just give us a sense of how Sanex is performing. Because it is in Europe, Europe's been tougher than expected overall. Has it been worse than expected for Sanex as well? And then did you reduce share repurchases relative to a year ago in '11 because of the Sanex acquisition? And if so, do you think you'll see an acceleration in share repurchases this year?
Ian M. Cook: We -- Sanex is doing well. We are excited both by the progress, which is on plan generally and ahead of plan on the top line. And we have said before, the expansion opportunities we see for Sanex going forward. In terms of our share repurchasing, I think as we think about 2012, we should think about share repurchasing at around the same level that we had in 2011. And there was a little bit of pullback relative to the Sanex acquisition in 2011, as you would expect, as we maintain our AA- rating. And you know the borrowing capabilities we have and the benefit we get from maintaining that ratio.
Operator: And for our next question, we'll go to Jon Andersen with William Blair.
Jon Andersen - William Blair & Company L.L.C., Research Division: I just had a quick question on the 4% to 7% volume growth outlook for 2012. That is higher than you achieved in 2011 and I think the highest rate since maybe 2008. So I'm just curious, should we think about that as being kind of innovation-driven, a stronger set of new products for 2012, or kind of just improving macro or market conditions? Just trying to get a better handle on that.
Ian M. Cook: Jon, well, first of all, 4% to 7% is a range. And you may recall or know that, that has been our historical range for a long time. And obviously, in turbulent times, as we saw in 2008 and '09 and as the world, I guess, is in today, companies have to balance, which I think as what Bina said earlier, what we get from a volume point of view and what we get from a price point of view. And we think in the second half of 2011, we balanced well a healthy rate of volume growth in the 4.5% to 5% range and managed to secure pricing, ending the fourth quarter of the year with pricing at 3%. So I would say in broad terms, within that range, that's how you might like to think about 2012.
Operator: And we'll now go to Nik Modi with UBS.
Nik Modi - UBS Investment Bank, Research Division: Just a quick question on cost savings. If you can just provide some specifics on what you're planning for 2012? Just so we can understand the source of those savings.
Ian M. Cook: The -- well, we have lots. I mean, we focus on Funding the Growth, as I was trying to explain earlier, on what we call direct costs, which are the costs that go into the gross margin, and indirect costs, which are those things the company buys that don't directly go to product. And interestingly, about half of what we buy are the direct costs and half of what we buy are indirect costs. And when we think about Funding the Growth savings, it really covers the waterfront. We think about simplification. We think about synchronization, as we have talked before. We think about the efficiency of our trade spending and the return on investment we get there. We think of material alternatives, formula alternatives, process alternatives. We get savings from capital spending where our rates of return, from a savings point of view, are extraordinarily high, and that will be the way we continue to think about savings from a Funding the Growth point of view. On top of that, as we said last quarter, we have the structural cost savings that we are bringing to the income statement relative to the Colombian detergent business that we sold last year. But when you think about it, Nik, it really is with the benefit of SAP that gives us visibility across all aspects of the business, challenging all areas of cost opportunity, both direct, those that go into the product, and indirect.
Operator: And we'll take our next question from Mark Astrachan with Stifel, Nicolaus.
Mark S. Astrachan - Stifel, Nicolaus & Co., Inc., Research Division: So following up on a previous question, I guess I shouldn't read too much into the fact that Michael is resigning. He had responsibility for the Hill's business in terms of how that plays into the future of the business. And just secondly, Europe, North America trends, can you just comment through the quarter? Did they get better, worse, both from a sales standpoint and promotion standpoint?
Ian M. Cook: Mark, Michael's retirement was long planned and we gave him the responsibilities he had at the end of an illustrious 41-year career. And we have clear plans about where the business will go, and I can promise you that Michael's departure has nothing to do with the Hill's business or any of the other businesses that he has managed in Colgate. In Europe and North America, the mood, of course, is good. In North America, I think we said -- you see it in the numbers, you see it in the pricing, and you see it in the market shares. So our year ended brightly in North America and we look for that innovation-led growth to continue. In the case of Europe, Sanex, as we've said, is adding well to our European business. Obviously, the economic, social and category overtones are not strong in Europe. We have known that for some time. They have not changed. The categories are growing at rates we have said before. And we're quite optimistic about our ability to continue to make progress in Europe, recognizing the slowing growth of the categories, which is why we have the structural cost initiatives that we have. But the European group was, actually happens to be in, and the mood is quite good in Europe, I would say.
Operator: And we'll now go to Jason Gere with RBC Capital Markets.
Jason Gere - RBC Capital Markets, LLC, Research Division: The quick housekeeping is just the other expense line. It's been so volatile over the last few years with FX. I was just wondering if you could provide maybe a range, how we should think about that for 2012. And then just the bigger question on SG&A, going back to some of the structural cost savings. I was just wondering -- I mean if you look at the fourth quarter with a very strong sales number, it didn't get as much leverage, I was just -- in the fourth quarter versus third quarter, it was similar type of growth. So I was wondering, is that the timing of savings or is it currency? And how should we think about this component for 2012 in terms of the similar type of reduction as a percentage of sales, similar to what we've seen in 2011 and '10?
Ian M. Cook: Yes. The -- when you talk about the overhead side of things, it is timing. The benefit will come in 2012. I guess that's the simple answer to that question. On other income and expense, I guess the way one has to think about it is the balance from the fourth quarter of '10 to '11 was really the impact of the Venezuelan announcement in 2010 that was to do with the remeasurement of the balance sheet, where they moved from the dual rate to one rate. So that was the effect there. I don't have a forward projection of that line, Jason.
Jason Gere - RBC Capital Markets, LLC, Research Division: Okay. And just to clarify on the SG&A question, so we should see an acceleration of the cost savings in 2012 versus -- I mean, I think it was a 20 basis point improvement in '11 and 30 in 2010. So we should see something more meaningful in 2012? Is that correct?
Ian M. Cook: We will see improvements in 2012, Jason. And we had said we would see the full benefit of the costs that we offset with the onetime gain. And I think we said on a call before that we would expect the savings ratio of that to be consistent with the kinds of rates of return that we had delivered before, which were in that 30% to 40% range.
Operator: We'll now go to John San Marco with Janney Capital Markets.
John P. San Marco - Janney Montgomery Scott LLC, Research Division: Can you provide additional detail on the advertising decline in Lat Am such as what markets drove it? And I guess why you decreased ad spend and then maybe what your competitors did in this regard?
Ian M. Cook: No, is the answer. But in truth, the -- we did not reduce advertising in Latin America. It was up year-on-year.
Operator: And we'll now go to Lauren DeSanto with Morningstar.
Lauren DeSanto - Morningstar Inc., Research Division: I'd like to ask about kind of what trends you're seeing at the premium end of your oral care portfolio, kind of specifically to what degree coupons and promotions and then the trade spending that you've discussed already, kind of to what degree they're driving sales growth, and kind of just to get a feel for how much they've accelerated as growth drivers for this premium portfolio kind of over the past few years. Any detail on this would be very helpful.
Ian M. Cook: Well, I think what I'd say, Lauren, is that what we were trying to say earlier, we learned an interesting lesson, if you go back to the subprime, which is playing out again with Optic White and Colgate Sensitive Pro-Relief, and that is when consumers, whether they're developed-world consumers or so-called emerging-market consumers, adopt a premium product, it's because they see a value and a benefit in that product. And even when times get challenging, they stay with that product. So in 2008 and 2009, despite the macro pressures, consumers, whether in the U.S. or in Brazil, stayed with premium products. We are now seeing again, with CSPR and the Optic White product here in the U.S., which is moving around the world, terrific consumer response to what they see as a valuable new addition to the toothpaste category. And by all means, one uses couponing here in the U.S. and other trial-generating devices to build the trial for a product. Again, as Bina said earlier, that is exhibiting some very strong repeat purchase rates. So the answer is that, that kind of consumer engagement strategy is indeed building trial and repeat for good premium-priced products. And once consumers adopt them, they stay with them.
Lauren DeSanto - Morningstar Inc., Research Division: Yes, I guess I was just trying to get more of a sense for a kind of like over the horizon of the repeat. So obviously, for the trial, and kind of maybe the initial kind of purchase cycle, but over the horizon of owning, engaging in buying these products, are the premium -- is the premium end of your portfolio kind of being propped up more and more by couponing and promotions? That's kind of what I was trying to get at.
Ian M. Cook: No. Frankly, you would say slightly less, and in any event, they end up obviously being accretive.
Operator: That concludes today's question-and-answer session. At this time, I'd like to turn the call over to our speakers.
Ian M. Cook: I guess, I'm the speaker. Okay. Well, thank you very much for joining us today, and we look forward to reporting our progress in our turbulent world. And a big thank you to all of the Colgate folks around that world who make it happen.
Operator: Ladies and gentlemen, this does conclude today's conference call. Thank you for your participation.